Operator: [Interpreted] Hello, everyone. Thank you very much for waiting. We would like to now start SoftBank Group Corp. Earnings Investor Briefing for the 6 month period ended September 30, 2022. 
 First of all, I would like to introduce our representative from SoftBank. We have Mr. Yoshimitsu Goto, Board Director and CFO; Kazuko Kimiwada, Corporate Officer, Senior Vice President; Mr. Navneet Govil, Managing Partner, CFO and SoftBank Investment Advisers. Also, we have Mr. Yotaro, IR, Vice President Arm, is with us to take questions at the Q&A session. 
 This briefing starts with opening remarks by Mr. Goto; then the overview of our consolidated results by Ms. Kimiwada; financial update by Mr. Goto; followed by Navneet Govil, the SoftBank Vision Fund. 
 You can choose either English or Japanese for this meeting. Interpretation is available. If you do not choose the language, you will hear the original voice of the speaker. We can take both English and Japanese questions within Zoom after the presentation. Material for today is available at our corporate website. 
 Now we would like to start with opening remarks by Mr. Goto. 
Yoshimitsu Goto: [Interpreted] Yes. Thank you very much for joining today. This is Goto speaking. So last week Friday, we announced our earnings results for the 6 months period ended September 30, 2022. And for this occasion, we would also like to give you an update on the investor briefing. 
 Of course, up until the last time that Mr. Son, our Chairman and CEO, was giving you the presentation and also give you an update on the strategy and so on. But going on, in the meantime, as he mentioned at the earnings that he will not be at the stage of the earnings result announcement quarterly basis, and it will be done by myself and my team and other senior executives to give you a good explanation about our business. 
 As Mr. Son mentioned that he is not going to be at the stage for the earnings results announcement, and he is going to very much focus on the Arm and the Arm business, and we believe that will be the best contribution to the company and to the stakeholder. He himself believed that way, and we also support that idea. And we have -- while we do not have earnings with Mr. Son, people may speculate that it may be the negative message to the market and so on. 
 However, he is the person who is the most aggressive in terms of his nature for the business of the SoftBank Group. And the reason that he is not going to be at the stage or in the public for the quarterly result, but rather, he would like to show himself that he is devoting his time all to the business strategy for the group overall. So it's not that it's going to be any obstacle for the group growth or anything like that at all. 
 Now that we have each individual companies and subsidiaries independently working by themselves to enhance our enterprise value, respectively, so that the update of those companies and the business will be shared by those -- each individual company. And also for the private company-wise the Vision Fund, and Arm is going to be updated you through these opportunities and so on. 
 So that's all from me as an opening remark, and I would like to pass on to Ms. Kimiwada. 
Kazuko Kimiwada: [Interpreted] Thank you very much. My name is Kimiwada. Let me walk you through accounting section. Please take a look at the second page of accounting section. The slide shows consolidated results, which we announced on Friday last week. 
 To put simply, in the first quarter, we had a loss of [ JPY 3.1 trillion ]. And in the second quarter, we had gain from Alibaba settlement. And for the first half of the fiscal year, we posted JPY 129  billion of loss in terms of investment business of holding companies, which include Alibaba-related gain and loss, and SoftBank Vision Fund posted JPY 4.3 trillion. But in the First quarter, SoftBank Vision Fund lost 2.9, but still, the loss remained. And Navneet will talk more about Vision Fund later, so let me focus on other businesses than SVF. 
 Moving on to Page 3. This slide is talking about reportable segments of SoftBank Group. LatAm Fund was independent in FY '21. But since the start of FY '22, LatAm Fund was integrated in SoftBank Vision Fund segment, and we retroactively adjusted numbers for apple-to-apple comparison. 
 And second topic here is about PayPay, which was included in the other segment. But as it's announced, PayPay has -- is going to become a subsidiary of SoftBank KK and Z Holding. So segment-wise, PayPay will be included in SoftBank segment, and we are going to make retrospective adjustment of the numbers accordingly. 
 Next page, is talking about impact on SBG from PayPay's conversion into subsidiary with SBKK. Again, PayPay becomes a subsidiary of SBKK and Z Holding, and it was announced that measurement gain will be recorded accordingly. But from SBG's perspective, PayPay has been and will be subsidiary. So remeasurement gain recorded at the level of SBKK and amortization expenses, again, recognized by SBKK should not have impact on SBG. 
 Next slide shows Alibaba transactions that took place in the second quarter of FY '22. Talking about Alibaba. As of end of first quarter, our ownership was 23.7%. Back then, equity method treatment was applied. So the ownership of Alibaba was picked up in the numbers. So there was no direct correlation between our numbers and the fair value of Alibaba at that time. But early physical settlement of prepaid forward contract, which was worth 242 million ADRs, took place. Accordingly, the ownership went down to 20%. 
 At that point, Alibaba was excluded from associate. Then from accounting perspective, FVTPL is applied. That's a big change. As of end of September, not only the financial physical settlement announced in August and other transactions related to Alibaba, ownership as of end of September was 14.6%. 
 Next slide shows amounts recorded in B/S related to Alibaba since the first quarter of FY '22. The height of the bars show amount on B/S, and the shaded areas are talking about portions related to prepaid forward contract. And after physical settlement of the prepaid forward contract, the ownership went down to less than 20%, and they were excluded from associates. Then the remeasurement value of JPY 3.4 trillion was recorded. As of end of September, the market value of Alibaba at that point was factored in our number. 
 And the next slide shows early physical settlement of Alibaba prepaid forward contract announced in August. Alibaba's share price and foreign exchanges were assumed at that point. Those numbers were not confirmed. So at the time of press release, we expected impact of JPY 4.6 trillion. But actually, it turned out to be JPY 5.3 trillion due to changes of share price and foreign exchange rate. 
 Next slide shows expected cash tax related to Alibaba shares. Gain from the settlement of Alibaba contract. What kind of impact should you expect from tax prospective? Not only SBG itself, but other SBG's wholly-owned subsidiaries were involved in the transactions, and one of the wholly-owned subsidiaries involved expected cash tax of JPY 203 billion. And accordingly, income tax payable was recorded in B/S. 
 Other than that, at the level of SBG, we should expect cash tax. But as you know, SBG's fiscal year won't end until the end of March. Until then, we should expect changes in foreign exchange rates and other expenses and events. So we can't finalize the number until the end of March. But as of September 30, to give you an idea, estimated cash tax at that point, September 30 that is, was around JPY 200 billion at SBG level. And please note that the numbers already took into account of loss carried forward held by SBG. 
 I'm going to skip Page 9 and 10 because those are talking about SoftBank Vision Funds. Page 11 shows segment income, investment business of holding companies. The red boxes are related to Alibaba, which we already explained. Other than the settlement we announced in August, there were other transactions related to Alibaba shares. So the numbers shown here are not necessarily consistent with the numbers shown on the page previously. If you go down on this page, blue box shows foreign exchange loss JPY 1.1 trillion due to weaker yen. 
 And Page 12 shows monetization of T-Mobile shares timeline. Talking about T-Mobile shares. If you take a look at Page 13, on the right-hand side of the chart, this is a breakdown of our ownership as of end of September. And if you move on to Page 15, this slide is talking about contingent consideration. Every quarter, this is evaluated against the fair value. And conditions as shown here is 45-day trailing VWAP of T-Mobile share exceeds $150 during April 1, 2022 through 2025. 
 Moving on to Page 16, consolidated P/L summary, which I'm sure you are familiar with. Let me highlight just one thing. Income tax is the number in the dotted pink line, JPY 292 billion was income before income tax, whereas income tax was JPY 306 billion. You may wonder why. This JPY 306 billion took into account of cash tax and the loss carried forward. SBKK and Yahoo! that are making profits pay income tax or record rather income tax, whereas SBG's wholly-owned subsidiary that is doing a settlement with Alibaba shares. 
 Also, income tax of JPY 164 billion was recorded. While recording tax expenses for loss-making companies. Since DTA can't be recorded -- recognized, so to simply, Vision Fund-related entities made loss. So DTA could not be recognized for those loss-making businesses. That's why this number may be a little bit confusing. 
 On the next slide, let me pick up some points. Cash and cash equivalents. Our cash position increased dramatically at SBG level. That's why. And investment accounted for using the equity method and investment securities because of the early settlement end of Alibaba shares. Alibaba-related items were picked up in different line now. And other financial assets, which is indicated in the dotted blue line. As you can see, SB Northstar's business has been smaller and smaller. 
 Next slide shows investment securities on consolidated, B/S, excluding Vision Fund. Major investments include Alibaba, T-Mobile and Deutsche Telekom. All of them are listed companies, therefore, the numbers are at market value. 
 Page 19, breakdown of goodwill and intangible assets. Due to weaker yen, Arm's goodwill in yen term increased by JPY 530 billion, but nothing new or nothing incremental since the last time. 
 Moving on to Page 21 please. Consolidated B/S summary in terms of equity. If you take a look at #3, accumulated other comprehensive income, increased in exchange differences from the translation of foreign operations due to the weaker yen is shown here. And from peer perspective, there was a huge FX-related losses at SBG level, but foreign subsidiaries caused this increase of accumulated other comprehensive income due to weaker yen. 
 Next slide was impact of a weaker yen. And if you go to Page 24, consolidated C/F summary. If you take a look at the reference box, it's self-explanatory. The physical settlement and the prepaid forward contract of Alibaba shares are noncash transactions. There is no impact on considered cash flows. At the time when the cash was coming in, it was recognized. But related to prepaid forward contract settlements, there's -- it was noncash transactions. 
 Next slide is talking about co-investment program to SVF2. This shows update. As you know, Vision Fund 2 is unfortunately underperforming. Therefore, if you take a look at top right, equity investment, third-party interest, namely Masayoshi Son, this came down to 0. On the other hand, if you take a look at bottom right, the balance of the receivables was JPY 411 billion. 
 On Page 27, talking about taxes. For your reference, income tax paid on a consolidated basis on Page 26, we explained this on the website before for the last 3 years. Back then on the release, we talked about Japan and overseas. This clarifies breakdown of Japan, SBG and holding companies and operating companies mainly SBKK and Yahoo! Japan. 
 The point here is, of course, operating companies constantly pay taxes. But from SBG's perspective, since SBG is an investment company, dividend from subsidiaries are not taxable. But when we sell investments to others and if we gain from that, we, of course, pay taxes. In FY '19 we pay tax after sales of SBKK, and also we pay tax in FY '20 after the follow-on sale of SBKK. So we pay taxes appropriately according to our businesses. 
 Page 27 is talking about characteristics of SoftBank Group taxation, which we announced on [ November ]. Again, it's just self-explanatory. But for a reminder as SBG standalone, as I said earlier, dividends from Japanese affiliates are mostly nontaxable, but gain from sales of investment are taxable. And gap between the dividend and gain from the sale is taxable, which we pay tax for. And also group had a loss carried forward, which we disclosed is used for tax purposes. 
 Thank you very much. That's all for myself. 
Operator: [Interpreted] Next, we would like to invite Mr. Goto to update you the financials. Goto-san, please? 
Yoshimitsu Goto: [Interpreted] Yes. Thank you for your kind introduction. So for me, majority of the pages were actually recovered by earnings on Friday. And I don't want to be too redundant, so I would like to forecast the other part that I didn't really mention that on Friday. 
 What we have highlighted on Friday was that because of the unstabilities in the market and environment, and this is not something that we'll be able to see the logical solutions for the short term, and we're expecting that it may take longer. Under such circumstance, we would like to prioritize the soundness of financials as an investment company. And not only us, but actually, when you look at the global players, I believe that they are also in the same direction as we do, and we wanted to clarify what we've been making an effort on from such direction. 
 And here is the summary for the second quarter fiscal 2022. So because we prioritize the soundness of our financials, you can see these numbers as a result. Net asset value under the declining of the market, we have secured JPY 16.7 trillion of net asset value. And for the reduction of the debt has been also exercised. Loan-to-value being also improving now at 15% level, which is very healthy. And our cash position, JPY 4.3 trillion. So we believe this is a kind of record high level of the cash position that we have on our balance sheet. 
 Financing activities in the second column, anything that payable or repayable or because we do have quite affluent cash position, we have reduced the debt largely. While that we're raising JPY 7.9 billion through asset debt financing, we have repaid JPY 28.6 billion through physical settlement of prepaid for the contracts and JPY 6.9 billion margin loans before maturity using Alibaba shares, T-Mobile shares and so on. JPY 325.2 billion bank loan has also been repaid. We believe this is a quite positive message for the credit investors. 
 But for the shareholders, we've been executing continuous buyback of our shares. Last year in November, we have announced JPY 1 trillion program, which completed October 17 this year. And in addition to that, we have additional JPY 400 billion program on top of JPY 1 trillion, which has also completed in -- on November 10, 2022. 
 I will touch on this on a later page, but I would like to highlight that this is not a onetime buyback. We've been actually in the past working on the buyback and other return activities to the shareholders. So I hope that you'll be able to see our activity history of buybacks in the past 5 years and so. 
 So when you put it into some details for the loan to value, for example, again, we are setting loan-to-value to manage below 25% at normal time. And usually, many people ask me what happened if you come closer to 25%. But even we exceed 25%, we are still safe because 25% is already a very safe level from my understanding. So that's something that I wanted to highlight once again here. So 25%, which is a safe level, which will be keeping this policy. But actually, we are far below 25%. So 15% right now. 
 If the environment is normal, where that we can have a continuous investment activities, then I would say this is not appropriately levered. We are not working the right job, excessive safe level. That's the kind of the situation if we are at the normal time of the period. However, considering this unsteady market and environment, we believe that -- we believe this is -- the 15% is good for us to keep the loan to value. 
 And this shows the diversified portfolio in comparison between March end and September end. We've been reducing the proportions of Alibaba ownership. At the end of September this year, actually, Alibaba is about 15% out of total. And from March end to September end, we haven't really done much of the Vision Fund investment activities, and actually Arm is increasing in terms of proportion out of our total assets. 
 So once we have IPO event happens, then that we believe this chart is going to change. And at the same time, the ratio of listed shares on your right above. At the end of March, it was 52%. At end of September, it's a little bit less than 50%. Once we see any IPO event, that's going to increase our listed shares ratio. 
 Impact of foreign exchange is also moving dramatically at the end of September. The highlight is the one of the most important KPI, which is net asset value. And this forex situation is, without doubt, a positive impact to our net asset value and the impact on accounting, as Kimiwada-san mentioned earlier, because the impact to our foreign denominated debt and also show an increase in equity. 
 So this second quarter activity-wise, we had -- we paid senior loans from bank loans perspective. Because of the affluent cash position, we had discussion with banks, and we have decided to repay to actually maintain the kind of headroom there. Not only the loan market, but also bond market. 
 Liquidity of bonds are a bit different from that of equity market. So in the past 3 months, we had redeemed foreign currency denominated notes upon maturity. Other than that, buyback of bonds are also exercised. If we plan to issue any foreign-denominated bond, that's going to be quite high cost, and we do have various options to raise money from global market. So whether to refinance that or not is something that we should consider, including cost point of view. And asset-backed finance includes Alibaba shares financing. As you can see forward transactions, additionally JPY 7.9 billion and also fiscal settlement prepaid forward contract. 
 And this is a breakdown of cash position. JPY 4.3 trillion. And our financial policy is to maintain our cash position to cover at least 2 years bond redemptions, and that is JPY 1.9 trillion. So JPY 4.3 trillion is far more than a 2-year bond redemption. Actually, this covers almost 4 years bond redemption. 
 And this is the redemption schedule. From next year on, we have around JPY 800 billion to JPY 900 billion level of bond redemption, and we have some years of exceeding JPY 1 trillion. But we would like to well manage our maturity dates so that we can kind of normalize the redemptions to some extent. 
 In the current credit market, as you can tell from the unstable market, credit spread has been widened, and that continued. But recently, it's been a little bit of tighter situation. 
 As I mentioned earlier, a buyback of foreign bonds, as you see in the previous page, volatility is still high. But because we do have quite a good level of cash position on the balance sheet so that to provide the good flexibility to credit investors that they can buy and sell kind of freely to some extent, we, the issuer, would like to kind of address that situation. 
 As you can see from this slide, for the first quarter, we had about $500 million of the buybacks of the dollar and euro-denominated senior notes. And also, we have seen and been informed by the bankers when we have thick offers, and that is something that we also take an opportunity of. And also USD 750 million hybrid notes. So all in all, that we have bought back about $2.8 billion or approximately JPY 370 billion bonds being bought. So with this dynamic buyback of bonds, it's not done by many companies in Japan, I believe. We, as a big issuer and also or not only domestic market but also global market, this is something that we could do. 
 Not only the bond, but also the actual debt reduction has been done, which was about JPY 2.4 trillion reduction has been made. This is quite a large amount. SoftBank Group is very much focused on net debt, but sometimes as that you are not actually repaying those debt. So that is why I wanted to share these numbers that we actually repaid. 
 And interest-bearing debt. As you can see, September end has shown the very reduction of the debt. 
 Standalone basis, not the SoftBank Group's credit, but sometimes financing only recourse to certain assets, for example, asset-backed financing using shares. For that case, we can repay in those shares physically, and that's the end of the transaction. So that we call it nonrecourse debt. And actually, we have reduced about JPY 3 trillion of the nonrecourse debt. At the end of June, we had about JPY 15.8 trillion of the debt, but now that that's been reduced down to JPY 12.07 trillion. That's also, I believe, is the improvements of the debt situation for SoftBank Group standalone basis. 
 Cash position. Since June to September, again, that excluding the credit line facility, about JPY 4 trillion level. Not investing in new companies or not making a new investment activities actually working here because previous year that we made quite a large amount of investments. But the once that we stop those, that's improving our cash position quite dramatically. 
 And net interest-bearing debt. We call it debt, net debt has been also reduced. And for the calculation of those debt, we do have an adjustment for asset-backed financing for loan-to-value and net asset value calculation. So we try to be logical for -- to see our actual finance situation. So nonrecourse asset-backed finance is deducted from debt, and value of assets required for settlement is deducted from assets. 
 And when actually we pay and what happened is the kind of the question for the numbers here. For example, for those that are using for the collateral, what happened to that? I mean the collateralized shares, if we're not going to use it, if that's going to impact to the credit of the company, then that we should not be including that. But if we have more than close to JPY 4 trillion of the cash position, then that's going to -- not going to be impacting. So whenever we repay and the asset should be balanced with the debt and offset it, that we believe is the most logical way of the calculation. Therefore, we come to these numbers. 
 Asset-backed finance using Alibaba shares is, as you see that for this time, early physical settlement of prepaid forward contract was executed. And as a result, our ownership ratio is now down to 14.6%. As a result, this company is out from the equity method subsidiary. 
 And the share buyback. Year ago, we have announced JPY 1 trillion buyback program. But if the environment is not good enough, then we may not be able to achieve those. But actually, within 1 year that we were able to achieve and finish all this program. And when we come closer to the due that we have also announced additionally of JPY 400 billion, and that was because of the increase of the transaction volume in the past couple of weeks that we have also completed this additional program as well. 
 Up to here is the financing section and also like to -- in the past, I have explained about sustainability activities. Actually, these slides were to use for the earnings results announcement on Friday. But because Masa spoke quite long. So that it was originally scheduled for 5 minutes for Masa, but he spoke about 30 minutes so that we have no choice but to omit those pages from my presentation. So I would like to actually talk about those slides. 
 Sustainability. Again I didn't have a chance to talk about this financial results announcement. Let me sort of remind you information, revolution, happiness for the future. That's our philosophy, and we have been having this philosophy for a long time, and we are asking ourselves our purpose against this philosophy through investing in IT and AI. We want to contribute to addressing social issues globally. 
 Talking about addressing challenges through investment. For example, we have invested in 476 companies through Vision Fund, and those are running different kinds of businesses. And through those businesses, they contribute to improving situation in terms of climate change, resources, and health and security for reduction of global gas emission. 
 As a group, our target is to achieve carbon neutrality by 2030. As the SoftBank Group as holding company, we already achieved carbon neutrality. Looking at group companies, for example, Arm, 98% of electricity used by the company is renewable energy. In SoftBank Corporation, using renewable energy, 53% of electricity used at base stations. And Yahoo! Japan using renewal energy, 59% of energy used by the company. 
 And in terms of diversity and inclusion at the level of SBG, as you can see, female employees account for 44% and female managers account for 22% of all managers. Compared to major companies in Japan and Asia, we believe that those percentages are relatively high. But at the global level, we have more opportunity to go. 
 And looking at the different group companies, SoftBank Corporation. They set the target for ratio of female managers because they have the largest number of managers in our group. So they are working on training and other programs. And we have SB Opportunity Fund, which is unique, and the fund invest in businesses led by underrepresentative founders in the U.S. And SoftBank Group International has ratio in new hire of women, 51%; and people of color, 55%. So those coworkers overseas are highly involved in activities of improving inclusion and diversity. 
 Governance initiatives. We have 56% of external director at our Board. But looking at [ TSA ] prime companies, only 12% of them have a majority of external directors. So we are pleased that 5 external Board members are having expertise in respective areas. And Ken Miyauchi and Kawabe, they are representative of listed companies. So rather, they have very fresh eyes as independent business leaders, so we have a great opportunity to get grateful insights and advices from those external Board members and internal Board members. So we are confident with our Board composition. 
 Last but not the least, tax policy. From a sustainability perspective, which is very important, Kimiwada-san explained in detail earlier, but we just wanted to add tax portion on this sustainability report. 
Operator: [Interpreted] Yes. Thank you. And last but not least, now Mr. Navneet Govil, CFO of SoftBank Investment Advisers, will give you an update on Software Vision Fund. Navneet, please. 
Navneet Govil: Hello, everyone. Thank you for joining us. Before we get started, please read the SBIA legal disclaimers on Slides 2 and 3 or refer to the online presentation for more details. For more information on the funds, please visit visionfund.com or follow the Softbank Investment Advisors page on LinkedIn. 
 As Slide 4 indicates, today, I will summarize our key performance highlights and the financial impact for the September quarter. In the in-focus section, I'll dive into our long-term investment strategy and conviction in the power of AI to catalyze new industries and transform existing ones. We'll begin with a summary of our progress along with some highlights from the last quarter. 
 Without a doubt, the markets are continuing to shift in response to today's economic challenges. Inflation remains elevated and volatile, while interest rate hikes have been rapid and unpredictable. Business confidence is declining, and companies are increasingly taking active measures to preserve cash and shore up balance sheets. 
 The data on Slide 6 shows that both public and private markets continue to navigate headwinds. For example, NASDAQ 100 tech sector is down 40%, and the Refinitiv venture capital index is also down 58% year-to-date. Amidst choppy markets, we must be proactive in recognizing the impact of these trends in our portfolio. We're continuing to monitor these conditions and what they mean for our investment approach and the founders within our ecosystem. The near-term impact on performance is clear, but we're a long-term patient investor in an unprecedented technological shift. 
 Since the launch of Vision Fund 1 in 2017, the last 5 years have demonstrated a continued upward trajectory of AI technology through multiple market cycles. While COVID-19 caused short-term investor headwinds, it also accelerated the uptake of digital technology. The market outlook remains bearish, but we have structured our funds to manage short-term volatility and performance while retaining the ability to capture future opportunities over multiple years. 
 Slide 8 shows a performance snapshot for our investment platform, including Vision Funds 1 and 2 and the LatAm funds. The market weakness we have seen in 2022 impacted both listed and private company valuations and continue to drag on our quarterly performance. In total, combined losses for the quarter were $10 billion, leading to a new combined fair value of $145.2 billion. Total committed capital now stands at $162.2 billion. Our total acquisition costs are now $144.2 billion. Our combined multiple on invested capital is around 1x, primarily due to our disciplined monetization strategy that has been in place for the last 5 years. We have now made a total of $52.4 billion in distributions to our limited partners. 
 Slide 9 shows a breakdown of our current portfolio. The total fair value stands at $145.2 billion across 472 investments. Notwithstanding today's conditions, we've made considerable progress across the portfolio. The number of public investments has grown to 54, a 70% increase since September 2021. 
 Sector and geographical diversification are key pillars that embed resilience into the long-term performance of the fund's portfolios. Slide 10 shows the footprint of our portfolio across all funds which has evolved to be balanced and diversified globally with the majority in the U.S. where we see significant opportunities going forward. 
 Similarly, here on Slide 11, you can see that our investments are organized across 9 key sectors where artificial intelligence and innovative applications of big data are powering secular growth. AI is a general-purpose technology that will influence every industry globally. AI's ubiquity means there are opportunities across many economic verticals. This diversification ensures that we maintain exposure to growth opportunities across consumer and enterprise businesses. Later during the in-focus section, we'll examine more closely the secular trends AI is powering in a handful of industries, looking at some of our strongest portfolio companies in e-commerce, logistics, finance, data management and more. Like any successful global investor, we must evolve to meet market opportunities. 
 Slide 12 provides a look at how we are rebasing our organization to reflect the new opportunity set presented by today's investment landscape. By rationalizing SoftBank's international investing capabilities within one platform, we can improve our focus on key sectors and geographies, concentrating our future deployment. In parallel, we have centralized our functional teams. This ensures the funds continue to be provided with best-in-class services under a unified organization while materially reducing operating expenditure. 
 Before we begin the in-focus section, I'd like to summarize the financial impact of performance across Vision Funds 1 and 2 and the LatAm funds on SoftBank. Beginning with Vision Fund 1 from inception to September 30, 2022. Fund net profit was $5.4 billion, of which SoftBank's share was $2.6 billion. The total contribution to SoftBank net of third-party interest was $3.5 billion. 
 Continuing our focus on Vision Fund 1. Here on Slide 15, I show the impact to date of fund performance on SoftBank. -- total paid in capital is $27.7 billion, and total value to SoftBank is $30.3 billion. 
 Moving on to Vision Fund 2. Slide 16 presents equivalent data points showing the impact of fund performance on SoftBank. Total paid in capital is $48.2 billion, and total value to SoftBank is $35 billion. 
 Finally, Slide 17 provides equivalent data points for the LatAm funds, illustrating the impact of the fund's performance on SoftBank. Total paid in capital is $6.8 billion and total value to SoftBank is $6.2 billion. 
 In this quarter's in-focus section, I want to rearticulate our conviction in the AI revolution as a generation defining investment opportunity. While today's environment is challenged by cyclical drivers, we believe our portfolio represents an unparalleled commitment to artificial intelligence. For the past 40 years, tectonic shifts in technology have transformed industries and altered the way people do business around the world. From the rise of personal computing in the '80s to the emergence of mobile technology in the 2000s. 
 Slide 19 shows how SoftBank has been at the forefront in identifying and driving these changes. From the 2010s to the present day, our investment thesis has remained unchanged. We are guided by our conviction in the power of AI as the load star of the information revolution. 
 Let's take a step back and highlight the scale of AI's ability to transform existing industries and create entirely new ones. AI is expected to enable $15.7 trillion of economic growth by 2030. This is made possible by AI's reach and varying impact across a broad range of sectors. For example, by 2025, global data volume is expected to have increased by more than 1,000% from 10 years prior. As more data becomes available, AI's impact will continue to grow and alter the trajectory of enterprise technology. 
 In health care technology, AI-driven models are able to identify potential drug targets 1,000x faster, greatly reducing the cost of drug trial failures. This promises to save lives through faster drug development and improve patient access by reducing prices for the consumer. 
 AI is also transforming the transportation sector in exciting ways. Autonomous vehicles have the potential to make travel by car not only more convenient and efficient but also much safer. Notably, autonomous vehicles have been shown to reduce accident rates by 80%. Part of AI's attraction as an investment opportunity is that it touches virtually every industry and is a powerful driver of secular, not cyclical growth. 
 The examples on Slide 21 show only a few of the emergent industry verticals that are being accelerated by AI-powered companies. From digital commerce and logistics automation to data analytics and financial inclusion. Across all sectors, we are focused on investing in and nurturing AI-powered disruptors with exceptionally strong teams and large addressable markets. Our portfolio companies also possess clear strategies to grow their businesses in a sustainable manner. 
 Let's spotlight how AI is driving progress in some key areas. As Slide 22 shows, digital commerce has brought an unprecedented number of customers online, many of whom are increasingly expecting a seamless digital-first retail experience. The graph on the left-hand side illustrates that e-commerce has been steadily growing its influence in global retail sales, rising from just 7% in 2015 to 20% in 2022. AI is driving the shift to e-commerce by delivering customers an optimized online retail experience. 
 It is also helping retailers unlock commercial potential through new monetization opportunities and operational capabilities. To pick a few portfolio examples from the right-hand columns, Contentsquare is an insights optimization platform designed to help businesses understand digital user interactions. Through data and AI it not only offers automatic recommendations but also measures content performance, explains consumer decisions and uncovers preference trends that lead to actionable business insights. 
 Another example is the short-form video sharing platform, ByteDance, which has approximately 3 billion active users. Through its AI-powered recommendations engine it has evolved into an e-commerce powerhouse, opening endless possibilities for small and large businesses to reach end consumers. 
 Looking to another trend, as the world struggles to navigate the ongoing global supply chain crisis, the capacity of logistics and robotics has been turbocharged through the effective application of AI. Global supply chains are complex and interdependent, meaning any disruption can have a domino effect on the system. Automation can ease major bottlenecks, including containership buildup, labor shortages, warehouse efficiency and rising consumer demand. 
 On Slide 23, we see that there is significant opportunity in the logistics automation market. Warehouse automation, for example, has only penetrated 2% of the global market. Sure enough, we see AI-driven robotics and automation gradually stepping in to solve supply chain crisis around the world, and there's plenty of market opportunity for growth. 
 One example is Flexport, a company that uses advanced solutions to optimize the complex coordination between manufacturers, warehouses, shipping carriers and global trade players. Flexport present -- processes large amounts of documents and data about the movement of goods to reduce delays, helping customers make decisions around transit time, cost, container utilization and compliance information. 
 Meanwhile, Paack AI technology powers end-to-end delivery in e-commerce. It's new advanced distribution centers use robotics to sort 10,000 parcels per hour with 99.99% accuracy, offering the smallest footprint of an automation solution. 
 An industry that has made one of the most dramatic shifts to digital is finance. Slide 24 shows that digital payments are expected to surpass $15 trillion by 2027, and which is nearly double the current amount today. The fintech companies in our portfolio, spanning all geographies and customer bases are leveraging AI to provide frictionless transactions develop new services for underbanked consumers and open up market access to wealth creation opportunities previously only available to a privileged few. 
 PayPay is Japan's leading path -- payments platform and builds a payments-led financial and lifestyle services ecosystem to serve over 100 million Japanese smartphone owners. PayPay uses machine learning based on payment data to optimize marketing efforts to reengage previous users. 
 Meanwhile, the financial app Revolut uses machine learning to analyze transaction data and offer a continuous and autonomous fraud detection system called Sherlock. Revolut updates Sherlock's machine learning models daily to continuously approve its accuracy. 
 Today, economies around the world are grappling with labor shortages driven by structural shifts that have been a long time in the making, including an aging global population and deepening geopolitical riffs. The great resignation brought on by the pandemic has crystallized this trend and challenged employers to tackle labor shortages head on. With the historic number of job openings and record low unemployment, the incentive for companies to attract, retain and reskill talent is stronger than ever. 
 Slide 24 shows the companies in our portfolio that are shaping talent management solutions for the challenges ahead. Leveraging AI to transform the hiring and onboarding process and helping companies foster employee engagement and retention. For example, Andela is a full stack technology platform for hiring and managing the world's best remote technical talent. Founded on the premise that intelligence is evenly distributed, but opportunity is not, the company seeks to bridge that information gap and connect firms with vetted remote engineers from dispersed markets using its proprietary database. 
 Employee upskilling is a true constant in an increasingly creative global economy. To that end, CoachHub provides a SaaS-enabled business-to-business marketplace for employees to be matched with a global pool of coaches to fit their needs. 
 Let's talk about data. the raw material for AI and the key driver behind it all. Since 2012, AI compute power has increased exponentially, doubling roughly every 3.5 months. The ability for companies to optimize performance is improving radically at a globally commercial scale. As the volume of data we create and consume worldwide has multiplied in the past decade. 
 Our portfolio companies on Slide 26 have leveraged AI to crystallize next-level commercial insights, optimize data management and protect data for consumers and enterprises globally. To share an example of a company in the cybersecurity space, Arkose Labs has an e-capture mechanism that leverages proprietary algorithms to create sophisticated cyber barriers against identity fraud. Its authentication system identifies attackers using behavioral analytics, stratifies risk levels and adapts security friction based on risk. Though it is still an early stage starter, Arkose Labs has already secured over 30 blue-chip enterprise customers. 
 MinIO serves a data lake for enterprise applications aligning data across on-premise and public cloud environments. A platform can assimilate differences between multiple hardware architectures, enabling data to be stored and deployed in high-performance use cases in AI and machine learning. 
 Let's wrap up. We recognize this is a time of significant uncertainty in the markets. Like many of our partners and peers, we are proactively navigating fluctuations in the economy. We fundamentally believe and remain patient investors with a long-term view. But in today's environment, we need to be flexible and respond as conditions change. Last quarter, I spoke about the financial resilience embedded across our investment platform. And today, I have shared more on our investment principles to ensure we continue to capitalize on the most compelling verticals. 
 While our commitment to investing in the fundamentals of the AI revolution is unwavering, we are taking steps to refine our investing platform and team structures. We maintain a deliberate, selective approach to investments. We are actively managing the financial position of our fund and maintaining a disciplined focus on monetization and distributions. 
 While today's market demands discipline, we believe there is still exciting potential yet to be unlocked. Son-san talks about the power of Vision Capital. And even in the wake of today's market volatility, we're excited by what we see beyond the horizon. 
 As always, thank you for joining us today. 
Operator: [Interpreted] Now we'd like to check questions until 2:30 p.m. Tokyo Time. [Operator Instructions] First, Nagao-san from BofA Securities. 
Yoshitaka Nagao: [Interpreted] My name is Nagao. I have 2 questions and 2 questions to Goto-san. First, Page 7 of finance section. You have plenty of cash position for next 6 months and 12 months, distributions from subsidiaries and expected IPO. Again, you can expect ample cash position under the circumstances for share buyback and repurchase of corporate bonds. I wonder if you remain unchanged in terms of the policy or you have made any changes in terms of financial policy in lieu of the plenty of cash position. 
Yoshimitsu Goto: [Interpreted] Purpose of the cash as investment company is first, of course, for investment, new investment; and second, stakeholders, including shareholder and investors. We want to return to them like dividends and share buyback. And for credit investors by improving our financials, we should be able to expect higher price of debt instruments. We don't invest actively at the moment. So the cash position we have, either return to our stakeholders or/and improve financials. 
 So how can we strike a good balance? We continue to discuss at the management level. So returns are one of the most important themes that we are always considering. So again, you have to be sensitive and careful under difficult circumstances, but also it's important to make sure that we return to our stakeholders against the background. So again, we make appropriate decision at the management level. 
Yoshitaka Nagao: [Interpreted] Second question, Slide 17 of finance section, asset-backed finance related to Alibaba shares. For example, for the prepaid contract, you can't pick upside of the share price, but you can take -- you can address downside risk. So going forward, physical settlement is more likely than before, I think? I wonder if you have any view on that. Any change in your view or not? 
Yoshimitsu Goto: [Interpreted] Whether physical settlement or not, of course, we have to take it into account of share prices. I'm not going to go into direct comment on that. But as you rightly pointed out, for prepaid for the contract, we can protect downside impact. So if the share price is trending downward, then it should have a huge value in physical settlement. At the same time, potential of Alibaba is something that we have to think about as well. So we make sure that we take time and efforts to figure it out, best option. 
Operator: [Interpreted] So I'll go on to the next question. Masuno-san of Nomura Securities. 
Daisaku Masuno: [Interpreted] I have 2 questions. Finance section, Page 23 and 25, remaining Alibaba shares or the remaining forward contract using Alibaba share. So JPY 2.8 trillion in debt size and JPY 1.4 trillion after deducting from equity. So if JPY 1.4 trillion beneficial, if you settle in physical way, that's how I see. But the JPY 1 trillion in schedule for -- within 1 year, how are you going to address that? In 6 months or so, are you going to have a larger portion? Or are you going to tail end -- bigger in tail side. So that how are -- what is the objective? 
Yoshimitsu Goto: [Interpreted] For schedule, we do not disclose. So I have no comments on that at this moment. Sorry about that. 
Daisaku Masuno: [Interpreted] So September $7.9 billion, what was the reason behind? 
Yoshimitsu Goto: [Interpreted] $7.49 billion financing in forwards on September, that's new, New raising. The new raising is something we always address looking at our liquidity and try to be a little bit earlier than is really necessary. 
Daisaku Masuno: [Interpreted] My second question is about cash position of standalone Page 7 of finance section, please. So quite a high level, and let me confirm that September 29 press release said Shiodome  9 SVG Capital, JPY 580 billion of the dividend to be received. You haven't received that, but that's going to be additions to the numbers in September 15. Shiodome 17, actually, that JPY 3.2 trillion transfer was made with Soft SBG. Has that been included in September in numbers or not? So is -- in the -- about JPY 200 billion of the tax is recalculated, and that is going to be happening after September end or before September end? So I understand that you have announced the cash position of a standalone. But based on that understanding, when is happening what? 
Unknown Executive: [Interpreted] This is Kawamura speaking from Capital Market. Standalone transaction-wise, dividend transactions are not all of them in cash, but actually, there are intercompany loans and there are some offset with those. So it does not necessarily cash in for all the amount. 
Yutaka Matsuo: [Interpreted] Matsuo-san speaking. So things that happened, [ JPY 320 billion ]. That's already been happened before September end. 
Daisaku Masuno: [Interpreted] Well the number is on Page 7 of finance section, can I assume that? 
Yoshimitsu Goto: [Interpreted] So what you have just mentioned, those transactions are all completed. So that has already been reflected to the numbers that we disclosed this time. That's all. Thank you. 
Kazuko Kimiwada: [Interpreted] As for tax cash out, Kimiwada-san speaking. Shiodome 9 is going to be paid in November. SBG, we have to wait until the fiscal year-end. So the -- when we -- is payable, that will happen in May next year. 
Operator: [Interpreted] Next question, Tsuruo-san from Citigroup Securities. Tsuruo-san then we'll take English question. 
Mitsunobu Tsuruo: [Interpreted] My name is Tsuruo from Citigroup Securities. Page 15 of accounting section related to T-Mobile. At the moment, share price is close to $150. So let me make sure I understand it correctly. So conditions affording 5-day trailing VWAP of T-Mobile shares, $150 or more. Momentarily, can you get the right? And what share price is going to be applied? And lockup period, what kind of requirement related to lockup period? 
Yoshimitsu Goto: [Interpreted] For the 5-day trailing VWAP, once condition is met, immediately, we can get the right to exercise. And for lockup, it's undisclosed the information. 
Mitsunobu Tsuruo: [Interpreted] So share price? 
Yoshimitsu Goto: [Interpreted] I don't know, $145 or so, once it's over $150 during that period. For lockup,, we have already disclosed about lockup information, so please refer to that. Once the number that we get is confirmed, so once $150 is met, probably JPY 7.5 billion worth of worth can we -- we can obtain. 
Mitsunobu Tsuruo: [Interpreted] Second question. At the moment, you have not set a share buyback yet. So going forward, what kind of financial resource or source are you going to use for a future share buyback program if any? 
Yoshimitsu Goto: [Interpreted] For the resource, financial resource, I don't know if that's the right way to say. But again, we have plenty of cash position around JPY 4 trillion. And also, we have accumulated gain for this dividend. So our decision making at certain point is something that we should decide ourselves. And over JPY 5 trillion of share buyback we have done for the last 5 years. Simply JPY 1 trillion worth per year. We were serious, we are committed to a share buyback program, and we actually executed those programs. So as you can see, we remain to focus on return to shareholders and the credit holders. So those stakeholders, we make sure that we return to them in appropriate way. 
Operator: [Interpreted] Now we take questions from English lines. CLSA, Oliver Matthew. 
Oliver Matthew: I have 2 questions. The first question for Navneet. So you have around $145 billion in the Vision Fund. IPO market is a bit difficult now. But how many -- over how many years do you think to monetize the portfolio? And should we expect when the market opens that, that will be fairly regular in terms of how many companies per year? And my second question to Goto-san is is the IPO market opening up a factor for you to consider when you think about equity buybacks? 
Navneet Govil: So Oliver, on your first question, it's important to note that we are not market timers, and our investing activity as well as monetization continues through cycles. So if you look at the fund life, and we have that in my Slide 7. For Vision Fund 1, it's 12- to 14-year life. And for Fund 2, it's a 15-year life. For the LatAm funds, it's a 13- to 15-year life. And we're 5 years into the fund, so there's a long fund life that's remaining, and we expect to monetize in a disciplined manner. 
 If you look at the monetizations we've done so far, on average, we have monetized at 2x the multiple of invested capital. That's been the average that we've done. And in 2021, when the markets were constructive, we were able to get out at relatively high prices. And we shared that, for example, with Uber, it was much higher priced than where Uber is trading today. So we will continue with our disciplined monetization process. We don't have a timeframe. But given the pace that we've been at, we should be able to finish long before the fund lives the funds end their lives. 
Yoshimitsu Goto: [Interpreted] And for your question, this is Goto speaking. IPO market is slowly recovering, which is a very good news, and that's making us even much more possibility for us to see the good improvement in Vision Fund's portfolio performance, which is going to be very positive for the group overall. But when it comes to buyback, that also relates to the company's performance, but that's not the only reason. I believe we need a kind of big picture for the shareholders' return and decide the content and also direction. So that will be even more important. 
Operator: [Interpreted] Next, [ Mr. Abraham Yale ] from Deutsche Bank. 
Unknown Analyst: My first question was with respect to the credit buybacks that have been done for the phones. Does this sort of imply that going forward, whatever all these are for the hybrids and the perpetuals will be called at the first state and the company would use the cash balance for the same? That's question one. And question two is regarding IPO, as you mentioned, not only in this presentation, but the earlier ones as well that you would be looking for a favorable timing.  Could you now sort of give us an idea of how -- what exactly is the timeframe that you're looking forward to? 
Yoshimitsu Goto: [Interpreted] Yes, for 2 questions. So let me answer the first one. Second question, I will ask Ian, as this is regarding IPO. So for your first question, hybrid, I believe this is a question regarding coal for the hybrid bond that we have issued. And for this, we have already promised with investors that once the maturity comes, we will call it, and there is no change for our position on that. And we will do, as we said. So once again, there is no change for that and for your second -- for the second question, Ian, please. 
Ian Thornton: So regarding the timing of the IPO, as I mentioned on Friday, although we were hoping to have the IPO this fiscal year, given the global uncertainty and the state of the fiscal -- the financial markets, it's unlikely that we'll be able to achieve that. So the current plan is to get the business ready, to get the documentation ready sort of for that timeframe. And then basically to IPO once the markets are ready. I'm afraid your crystal ball is as good as mine as to the exact timing of when the markets will we ready. But we're fully committed to making sure that we are going to be ready for when the markets are. And hopefully, that will be some time in calendar 2023. 
Operator: [Interpreted] We have 2 people still raising hands. Can we take one per person. First, Kikuchi-san from SMBC Securities. 
Satoru Kikuchi: [Interpreted] Okay. One question only. I have a question to Goto-san then. SBG, in the past, it looks like investment company, but now it's like a financing company for the sake of SV, Vision Fund practically. And also Son-san's interest came down to 0 now. And SBG, SBIA, I feel there is a huge separation between SBIA and SBG. So the business model is more like distributing investments rather than a strategic investment. I wonder, going forward, SBG is parting away and away from SVF and SBIA. 
 And Vision Fund may be momentarily is loss-making. So Goto-san, I don't -- I know that Goto-san directly manages SBIA. But you provide plenty of financial resources to SBIA. Are you confident and comfortable to do that? And SVF2 I don't know, IPO or third parties interest or more liquidation. I wonder if you want to hedge the risks from SBG's prospective. Current Vision Fund is not equal to past SBG in my mind. So I am uncomfortable with this current situation. So I wonder, going forward, SBG's position or view on SVF is going to be different than before? 
Yoshimitsu Goto: [Interpreted] Thank you for your question. For SBG, Vision Fund is an important investment vehicle. And parting away from SV or Vision Fund, you mentioned that. I am sorry if we didn't communicate well with you because Vision Fund remains to us important investment vehicle. Vision Fund 1 closed, if you will, for new investments. So effectively running Vision Fund 2, investors and Masa Son. So effectively, we are running this investment vehicle as a company. So we have a long-term investment position to explore the maximum result. 
 We have, like we said, invested in over 470 companies, which included Vision Fund 1 investment. But again, we make sure that we deliver results. But also, we have to make sure that we consider independency as a fund from structure perspective. So taking good balance is important. So again, our stance and position remains unchanged against Vision Fund. 
Satoru Kikuchi: [Interpreted] But business model has drastically changed in my mind. Again, SBG is just a financing vehicle, not investment vehicle anymore. I'm sure there is a connection between SBG and SBIA. But well, IPO and inviting third-party investors because, again, to me, it looks like you are investing using your own balance sheet. I don't know if it's sustainable for the next 10, 20 years. From your business, model perspective, I don't know if it's appropriate or not. But anyway, that was background behind my question. 
Yoshimitsu Goto: [Interpreted]  Again, we invest 100% as an investment vehicle, that's a fact. We don't think we are financing vehicle. We are investment company. So as SoftBank Group, again, we are investment company, and I hope that you understand our stance of that. Thank you. 
Operator: [Interpreted] So last question. Moriyuki-san, SBI Securities. 
Shinji Moriyuki: [Interpreted] Yes, quick. The Alibaba, so equity method, out of equity method now. So where that goes? That's the question. And currently, to maintain the relationship with Alibaba, do you need to maintain the holdings or considering the environment and the market? Ultimately speaking, can you bring it down to 0 in terms of ownership stake in Alibaba? So what is the meaning of holding Alibaba? 
Yoshimitsu Goto: [Interpreted] So the relationship -- friendly relationship in history with them between SBG and Alibaba has no change at all, and this relationship does not have any implications to the holding ratios of Alibaba. Because of relationship, we have restricted anything, that's not the case. So you could reduce down to 0 ultimately speaking, if you wish to. You could -- that's actionable. If I make numbers, that's going to impact to the market. So I don't want to make a quantitative comment on that. Thank you. 
Operator: [Interpreted] This concludes the SoftBank Group Corp. Earnings Investor briefing for the 6-month period ended September 30, 2020. This meeting will be available on our website later. Please fill out the survey that will appear on the screen shortly. We would appreciate your cooperation improving our IR activities. Once again, thank you very much for your cooperation today. 
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]